Operator: Good morning, and welcome to Franco Nevada Corporation's 2025 year end results conference call and webcast. This call is being recorded on March 11, 2026. [Operator Instructions] I would now like to turn the conference over to your host, Candida Hayden, Senior Analyst, Investor Relations. Please go ahead.
Candida Hayden: Thank you, Joanna. Good morning, everyone. Thank you for joining us today to discuss Franco-Nevada's year-end 2022 results. Accompanying this call is a presentation, which is available on our website at franco-nevada.com, where you'll also find our full financial results. Presentation is also available to you on the webcast. During our call this morning, Paul Brink, President and CEO of Franco-Nevada, will provide introductory remarks followed by Sandip Rana, Chief Financial Officer; who will provide a review of our results, followed by Eaun Gray, Chief Investment Officer, who will provide a review of our recent acquisitions. This will be followed by a Q&A period. Our full executive team is available to answer any questions. Participants may submit questions by the telephone or via the webcast. We would like to remind participants that some of today's commentary may contain forward-looking information, and we refer you to our detailed cautionary presentation. I will now turn over the call to Paul Brink, President and CEO of Franco-Nevada.
Paul Brink: Thanks, Candida, and good morning. 2025 was a record-breaking year for Franco-Nevada driven by higher precious metal prices and growing production. Thanks to a strong fourth quarter, we achieved the top end of our revised 2025 GEO guidance range. Big focus for us is growing the business profitably. So it's a proud moment when the annual earnings increased by roughly 75%. The more than $1 billion in earnings is close to a 60% earnings margin a level of profitability that's impressive in any sector. In January this year, we increased our dividend for the 19th consecutive time. For the record rise in our 2025 cash flow, we announced a higher-than-normal 16% dividend increase. Our 2026 GEO guidance shows good growth over 2025 with further growth in our 5-year outlook. In many ways, this is just a baseline. With the abundant cash flow and capital in the gold sector, the draws will be turning on the 70,000 square kilometers of mineral [indiscernible] that we cover globally. We've identified $250 million of exploration spend on our Canadian assets allowed this year. So we expect a multiple of that on our global portfolio. A restart of Cobre Panama would add significant further growth and the Panamanian government's willingness to approve the processing stockpiles as a positive step in that direction. While our goal is to be a go-to gold stock, we recognize the cyclical nature of commodities and the benefits of some commodity diversification. Our guidance this year is based on $70 per barrel oil. The last I saw WTI prices were $85 a barrel. If that sustained our 2026 guidance may be too conservative. 2024 and 2025 have been 2 of our best ever years for capital deployment, adding 6 quality long-dated assets to the portfolio that contribute to our 5-year outlook and help sustain those production levels over the next decade and beyond. Our strategy of being the financial bank of strong teams has worked wonders. We've seen the [indiscernible] discovery share prices increased tenfold, and they're now some of the dialings in the sector. Post year-end, Eaun and the team have backed to other teams in North America, Patty Downey and the Ozon team win Kasperadi from Hecla and Richard Young and the IA team developing their suite of assets in Nevada. Most recently, we've backed [indiscernible] and the Minerals 260 team developing the Bullabulling assets in Western Australia. We're delighted that their share price is up 50% in the couple of weeks since the transaction was announced. By making their shareholders successful, we believe we can open the eyes of the Australian markets to the power of our financing model. You will have seen in our asset and the term royalty ounces representing MI&I resources and streams and royalties, where the economics are 100% attributable to us. In the deals we have done since year-end, we've added 820,000 royalty ounces. That's an undiscounted value of over $4 billion at today's gold prices. Our average cost was $770 an ounce, a fraction of the cost you see in other transactions in the sector. We're committed to promoting sustainable mining, and we're delighted to be made by the corporate nights in 2026 as one of the 100 most sustainable corporations globally. To wrap up, we're excited about the outlook for Franco-Nevada in 2026, with the industry's largest portfolio of gold royalties, no debt, $3.1 billion in available capital we really are uniquely positioned to create further shareholder value. Over to you, Sandip.
Sandip Rana: Great. thanks very much, Paul. Good morning, everyone. As Paul mentioned, Franco Nevada reported record financial results for fourth quarter and year ended December 31, 2025. Our diverse portfolio of royalty and stream assets performed well and continued to benefit from higher precious metal prices. Slide 4 provides a recap of the company's performance against the revised guidance provided for the year. The updated guidance range was 495,000 to 525,000 total GEOs sold. Of this total, the company guided 420,000 to 440,000 precious metal GEOs, with the balance being from diversified assets. With strong performance from a number of assets during fourth quarter, the company finished the year with 519,106 GEOs sold, which was near the top end of the guidance range. For precious metal GEOs, we slightly exceeded the top end of the range with 440,140 GEOs sold. The diversified assets, which include our nonprecious metal mining assets and energy assets, resulted in 78,966 GEOs sold for the year. On Slide 5, you will see a summary of commodity prices for fourth quarter and full year 2025 and 2024, and Gold and silver prices increased significantly year-over-year, with the average gold price higher by 56% in the quarter. However, the 2 strongest performers during the fourth quarter were silver and Platinum, each up 75% and and 74%, respectively. The strong silver price performance resulted in a stronger gold silver ratio, which benefited our silver assets, in particular, Antamina and while our west -- and also our Western Limb Platinum stream, which benefited from stronger platinum price. For diversified commodities, prices for iron ore remained essentially flat year-over-year oil was lower, but we saw a significant increase in natural gas prices year-over-year. The strong performance from our assets, combined with record gold and silver prices resulted in record financial results for 2025 as seen on Slide 6. Revenue was higher by 64% and adjusted EBITDA of 74% and adjusted net income, 74%. This was also the case for fourth quarter as compared to prior year as seen on Slide 7. Total GEOs sold for the quarter increased 18% to $141,856 compared to 12,063 in fourth quarter 2024. Precious metal GEOs sold in the quarter were $127,959, higher by 34% compared to prior year. 50% of total GEOs sold were sourced directly from mines where precious metals are the primary commodity. For the quarter, we received strong contributions from a number of key assets. Antamina, where we benefited from both higher deliveries as fourth quarter was the highest delivery period during the year and also benefiting from higher silver price when converting to GEOs. Both Guadalupe and Antapacay had strong production quarters. And at Hemlo, we benefited from the leverage that net profit interest provide. As you know, the Hemlo NPI is difficult to forecast as it depends on how much mining is performed on Franco-Nevada's Interlake lands. During fourth quarter, we benefited from both higher production on our lands as well as higher margin per ounce with the rising gold price. In addition to the strong performance from those assets mentioned, we benefited from asset acquisitions that were new contributors to Franco-Nevada during fourth quarter. Western limb, Porcupine and Cote. Diversified GEOs sold were 13,697 for the quarter compared to $24,498 for prior year. This was partially due to lower diversified revenue than prior year, but the larger impact for the reduction in GEOs sold is due to the impact of higher gold prices when converting revenue to GEOs. As you can see from the chart, total revenue increased by 86% for the quarter to $597.3 million, which is a record for Franco-Nevada. Precious metals accounted for 90% of revenue. Adjusted EBITDA, also a record, was 95% higher for the quarter at $541.2 million compared to $277.4 million in fourth quarter 2024. With respect to costs, we did have an increase in cost of sales compared to Q4 2024 due to higher stream ounces sold. Depletion increased to $87.3 million versus $60 million a year ago. has received more GEOs from Antapaccay and Antamina and began depleting our recent transactions, Yanacocha, Western Limb, Porcupine and Cote. These assets are higher per ounce depletion assets. Finally, adjusted net income was $356.2 million or $1.85 per share for the quarter, both up 94% versus prior year. Slide 8 highlights the continued diversification of the portfolio. 85% of our full year 2025 revenue was generated by precious metals, with revenue being sourced 88% from the Americas. No 1 asset generates more than 13% of revenue as we have one of the most diverse portfolios in the industry. Slide 9 illustrates the strength of our business model to continue to generate high margins. As you can see over the last number of years, as the gold prices increased, our margin per geo has remained fairly constant. The cash cost per geo has increased from $242 in 2020 and to $325 per GEO in 2025, a 34% increase over this 5-year period. However, the margin has increased from $1,528 per geo, in 2020 to $3,110 per GEO in 2025, a 204% increase while during this period, the average gold price increased 194%. Our business model is very profitable as royalties and streams are usually top line revenue interest with either no cost or a fixed payment associated. As a result, as seen on Slide 10, our adjusted EBITDA margin for 2025 was 91%. And when accounting for depletion and taxes and other costs, our adjusted net income margin was 59%. As we look forward, Slide 11 summarizes our GEOs sold guidance for 2026. Beginning in 2026, we will be adopting a fixed GEO conversion ratios based on the pricing assumptions that you see on the slide. This methodology replaces our previous variable GEO conversion ratios based on actual average commodity prices. and is intended to make our GEO guidance better reflect production volumes. Our total GEOs sold are expected to range from 510,000 to 570,000 ounces with 90% from precious metals and 10% from our diversified assets. As you can see, we have provided guidance ranges for gold, silver and PGM ounces and for diversified assets, we are providing a revenue range. The main drivers for the GEO sold increased year-over-year are for precious metals, we will be benefiting from full year contributions from a number of assets, both acquisitions and new mine starts. Cortez Gold, Porcupine, Casa Berardi, IA and Valentine Lake, and we will continue to benefit from the ramp-up of new mines that began production over the last couple of years, Greenstone and Solaris Norte. Please note that we have not assumed any contributions from Cobre Panama. First Quantum has stated that they are awaiting formal approval to process stockpiled ore, which would produce approximately 70,000 tons of copper and result in stream deliveries to Franco-Nevada of approximately 23 ounces of gold and 265,000 ounces of silver. Timing of deliveries would be dependent on when formal approval is received. Also on the slide, we provided guidance for depletion, tax and funding commitments. Slide 12 illustrates our outlook for 2030, which is 555,000 to 615,000 GEOs sold. Main contributors will be contributions from new mines, Stibnite Gold, Copper World, SK Creek, Cascabel and Tacataka; contributions from expansions that are either underway or planned [indiscernible], Detour Lake and Castle Mountain. We do anticipate a step-down in deliveries at Candelaria in the second half of 2027 and at Antapacay in the second half of 2020. For the energy assets, we've assumed an increase in production over the next 5 years, resulting in an increase in GEOs, but have kept commodity prices flat at $70 a barrel WTI and $3 Mcf natural gas. Overall, when you look at the outlook for GEO sold, the company has approximately 13% built in organic growth from 25 to 2030 at budgeted commodity prices, excluding Cobre Panama. Cobre Panama is a large growth driver if the mine were to restart, should production restart, there's the potential for maturely higher geos depending on the conditions of the restart. Based on the average of the next 5 years of the Cobre Panama mine plan, the stream could contribute between 150,000 to 175,000 GEOs to Franco-Nevada per year. With a Cobre Panama restart, the company has approximately 45% built-in growth to 2030. As we look past 2030, Franco-Nevada has a very deep portfolio of assets that should begin to contribute meaningfully over time. I won't go into the specific details as shown on Slide 13. And but overall, these assets have the potential to generate over 220,000 GEOs to Franco-Nevada over time. Each asset is a different stage of development. And when looking at this group of assets as a whole, they contain approximately $6 million measured and indicated and 1.7 million inferred royalty ounces. Our royalty ounce is net of any cost such as stream costs, so it represents a 100% cash flow to Franco-Nevada before taxes. But even beyond that, we have not included any upside from over 230 exploration assets which provide additional optionality. And in this price environment, we are seeing exploration drilling increasing on our lands. We look forward to seeing what positive news is released on some of these options over time. And with that, I will pass it over to Eaun, who will highlight the recent new additions to the portfolio.
Eaun Gray: Thank you, Sandip. It's been an exciting year so far as we've delivered meaningful growth with several large acquisitions in key gold mining districts. This growth has come at a low cost per ounce of resource, which Paul highlighted earlier. Starting with our [indiscernible] stream, we were delighted to support Patty Downey and his team and the acquisition of this established producer in Quebec. We have confidence in Patti and his team to execute their plans, and in particular, are excited by the increased exploration the property will now receive -- for too long, this project has been underloved. The extensive land package and deep cover, our team sees great promise to extend mine life at increased grades. Similar to our investment with Discovery, we see focused management as key to the success of this mine and is now in place, so the future should be bright. We're also excited to have completed the financing with i80 in February. This is the third financing we've completed with Richard Young and his team speaking to the strength of that relationship. We structured this royalty to dovetail the company's growth plans with a step up to 3% in 2031. The royalty covers all of the precious metals assets and over 200 square kilometers of key gold trends in Nevada, our name sake. We'll see cash flow starting immediately with Granite Creek, expanding with our communities and ramping up with the development of Mineral Point, which we envisage as a large-scale project. A significant portion of the financing is earmarked for acceleration of development in all 3. Finally, I'd like to briefly touch on our first sizable acquisition in Australia for some time, the Bullabulling loyalty. We historically have held a royalty on a portion of the deposit but with the renewed focus on the asset by Minerals 260, we quickly realized the larger potential of this project, which is a short distance from Kalgoorlie, a key gold producing region. We're delighted as Paul said, to be working with Tim Goyder and Luke McFadden, who lead the team at Minerals 260. We expect the PFS in the next few months, which should better define the project parameters for the market. The expanded resource has already been published, but extensive drilling has since been completed and will continue. Given the brownfield nature of the project in a well-established historical mining area, we see a rapid path to production with meaningful contribution to our Australian business. To conclude, I would highlight that we're debt-free with significant cash flow generation, which positions us well for continued acquisitive growth. With that, I'll hand it over to the operator for any questions.
Operator: [Operator Instructions] First question comes from Josh Wolfson with RBC Capital Markets.
Joshua Wolfson: Yes. First question is just on South Arturo. Very strong results in the fourth quarter. I'm wondering if you can provide any more information on expectations for 2026 and if that's assumed as well for 2030.
Sandip Rana: Josh, Sandip here. Yes, no, South Toro was a very strong performer in the quarter. they are mining the open pit ahead of schedule. It's going to carry on into 2026. So 2026 should be a strong year. And what we've seen in the first part of this year, it is occurring. But starting in 2027, we do see it falling back off. So it's really a 2026 benefit with minimal for 2030.
Joshua Wolfson: Okay. And then the minimum deliveries still apply for 2027, correct?
Sandip Rana: Yes, correct.
Joshua Wolfson: For Cascavel, a couple of questions there. I mean, first is for the stream buyback, should we assume that, that -- assuming it's the gold payable that's going to be received, should we assume that that's reflected in production for guidance? And then similarly for 2030. Is there any additional disclosure the team can provide in terms of what the production volumes are there?
Sandip Rana: Sure. So for the buyback on the screen, we are receiving ounces those ounces are not included in our guidance at this stage. We have been notified they will be delivering GEOs for the roughly $40 million buyback that's been calculated. But as I said, it's not in our guidance. We're still working on how to account for that buyback. And as we decide that we'll provide additional disclosure. As per 2030 Cascabel mine Start is in our outlook, and it's probably a range between 15,000 to 20,000 GEOs.
Joshua Wolfson: All right. And then one last question. Just on Musslewhite. Very strong quarter they reported previously by the operator. It looks like the NPI didn't pay out as high as expected. Is that something we should expect to occur, I guess, as a true-up in 2026? Or is there something more we should be aware about?
Sandip Rana: So yes, the Orla did report very strong Q4. We do not have an estimate of the NPI at this stage. And as you know, one of the major deductions is capital. And so we made an accrual once we get the actual number from Borla, we will make an adjustment in all likelihood, there will be a true-up but as to the quantum unknown at this time.
Operator: The next question comes from Larry Lee with CIBC.
Chunshan Liu: Paul, Sandip and Eaun, I guess my first question would be on energy prices. So if we look at the 2026 guidance, oil is calculated using $70 a barrel because of recent events, we've seen the oil price strengthen. So I'm wondering if you can give us a little more sensitivity around how that would impact Franco-Nevada. As you know, Francois on a few, if not the only company -- royalty company that has exposure to energy.
Sandip Rana: Sure. Larry. So as you're correct, we used $70 per barrel WTI in preparing our guidance a $5 increase in the WTI price is essentially a 7% increase in energy revenue.
Chunshan Liu: Sounds good. And I guess on a similar topic, now that we're looking more towards unlocking value of the portfolio, I kind of want to ask about Cobre Panama. So from that perspective, I'm wondering what's the next step after the environmental audit conclude? When should we expect a potential decision from the government? Is that something you can share with us? And how long does it take to -- for the assets ramp up and deliveries to restart for Franco?
Paul Brink: Thanks for the question. The -- the best information that's out there was the government themselves, President Molino, saying his target is the summit to try and have a resolution on the issue. So we'll pull that something can be achieved in that sort of time line. In terms of a ramp-up, the -- my understanding is that the -- once you've got a go decision that it would be roughly 6 months to get to 50% of production in 12 months to get to about 90%. Although the -- if the company is allowed to go ahead with the processing of stockpiles, that does allow them to operationalize. They're already increasing their workforce. It would allow them to start at least one of the trains, the mill trains. So I expect that could accelerate the ramp-up time line.
Chunshan Liu: Perfect. Sounds good, Paul. I guess I have just one last question, if that's okay, is I want to ask about the balance sheet. So Franco currently holds about $1.1 billion in publicly traded equity investments, and that's a significant increase from just $770 million in Q3. So I'm wondering what would be strategic positioning for the public traded equity investments? Could that be a potential source of liquidity? How should we look at it?
Paul Brink: So the large part of those equities are shares that we obtained in supporting GM and Discovery Silver. We are -- our intent is to be their financial bankers. I want the market to know that we're in those stories. So we intend to be long-term holders of the stock. but at the same time, we are -- if there are good opportunities, if we have got good returns, there is the potential that we'll take some money off the table. But we are long-term investors. And so principally, with the is to realize the value that we think both teams can add in their companies.
Operator: The next question comes from Heiko Ihle with H.C. Wainwright.
Heiko Ihle: I'm going to follow up with one of the last questions that was asked. I mean the oil segment, we're 3 weeks away from Q1 being over. Do you have a year-to-date figure of cash receipts? And also, I'm cognizant the high prices didn't really start until a couple of weeks ago or really just 2 weeks ago. But maybe a bit of color of what number we should be modeling out for the full quarter?
Sandip Rana: Sandip here, you're right that this event is recent. I do not have a number off the top of my head. If anything, the real benefit to this, if this carries on, will be a Q2 event for us. And as part of our Q1 results, we'll provide additional color as to sensitivities, et cetera.
Heiko Ihle: You wouldn't be willing to give us a quarter-to-date guesstimate on receipts, though, would you?
Sandip Rana: Not right now, no.
Heiko Ihle: Okay. Fair enough. And then just thinking out loud, I mean, like now there's talk about mines getting put into the straight and just geopolitical risk factors are lowering even more so than they have been over the past couple of years. Just maybe a bit of color on where internally you move your discount rates and your risk-based premiums for acquisitions that you're thinking and willing to make?
Paul Brink: That would be a long answer to that question. Other than that, I think you -- the main point you make is a very good point is the -- we've seen deglobalization. We've seen the world breaking into trade blocks and now you have an added dispute on top of that. it does raise risk globally. We try to be a low-risk way to invest in this business. We need to have most of our assets in good jurisdictions. We're very glad that, that is the case. Very glad that in terms of the recent deals over the last number of years, most of that has been in Canada, the U.S. and Australia. We think those are super jurisdictions. We will continue to do deals that are across the board, but we do like having most of the assets in good jurisdictions. And obviously, when you're going into jurisdictions when there's more risk, you've got to think about the discount rate. You've got to think about the size of capital that you're putting at risk. But in particular, we think about the payback and you want to make sure if there is a bit more jurisdictional risk that you're getting a faster payback.
Operator: The next question comes from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: First one, I'm going to start with Sandip on just how you're going to be showing guidance. I understand that you put out your commodity pricing, and that's what you're going to use for the year. So when you report, should I be thinking that the GEOs that you're going to be reporting every quarter would be exactly on those commodity prices you've outlined, but your revenue is actually going to be on what was realized per quarter. I'm just trying to understand how you're going to show it.
Sandip Rana: That's correct, Tanya. Revenue will berealized [Audio Gap]
Tanya Jakusconek: Clarity. So my next question then is going to go back to the guidance. And I want to go back to 2030 because we were quite off on 2030. So I'm trying to understand if it's possible for you, would you be able to take that guidance range and break that out to what is gold in that 2030 guidance for what is silver and what the other diversified.
Sandip Rana: I think we would break it out just between precious metals and diversifying, but I can give you a call after and can give you some color.
Unknown Analyst: Okay. And then in that guidance as well, you gave us what the contribution from Casabe would be. I don't have the new deposit coming in at an Cai. Would you happen to know how much is in there as well? And then is this new Australian Bullabulling in there in your 2030 guidance as well?
Sandip Rana: So I don't have the [indiscernible] number in front of me. Bullabulling is in there, but it's minimal ounces.
Tanya Jakusconek: Okay. That's very helpful. And then I'm just trying to understand also, maybe Eaun wants to take this 1 just on the environment. that you're in because it's moving quite fast these commodity prices. So maybe just an idea of what you're seeing out there. Any opportunities for you to double down on RECONNECT areas of investments that you already have exposure to. And then obviously, we saw the big weeks in transaction on Antamina as we're trying to understand how many other big ones are is that you're also seeing?
Paul Brink: Thank you, Tanya, for the question. I would say, overall, it remains a very robust seen a number of transactions. We're very proud of the deals that we got done year-to-date. My expectation is you'll continue to see similar kind of deal environment to what we've seen over the last 2 years despite the changes to prices just based on what we're seeing at the moment. What I'm very excited about is given the deal that we've done in Australia, the deal that BHP did, I think the streaming market is very much in consideration by CFOs in the mining industry at the moment, and that should drive further activity going forward. So I'm quite hopeful on that front.
Tanya Jakusconek: And what is the size of the deal environment you're seeing? Because you can run the truck through the 0 to $4.3 billion. Most -- what are most of that you're seeing? Are we still in that 100 to 300 or 100 to 500. I'm just trying to understand what the majority are separate from these big ones.
Eaun Gray: Yes, Tanya, unfortunately, it's really hard to handicap. I would say at the moment, you're going to see a range, similar sizes to what has taken place. So for the last year or so, that's what I would expect in the market going forward. So there are larger transactions and smaller transactions. We'll see what actually crosses the finish line.
Tanya Jakusconek: And is your focus on mainly on precious metals right now? Or are there opportunities in other metals as well?
Eaun Gray: That really hasn't changed. We remain open to investments outside of precious metals, but precious metals make up the majority of what's in the pipeline at the moment.
Operator: There are no further questions on the phone line. I will now turn the Q&A session back over to Candida Hayden, who will take questions from the webcast.
Candida Hayden: Thank you, Joanna. Our first question comes from Rene Picifrom Palisade Capital based on the recent transactions or investments in Canada, U.S. brackets, Nevada and Australia, it would seem that you may have made a strategic decision to focus on OECD-type post countries, developed countries, is this just a coincidence or happy occurrence or deliberate.
Paul Brink: As I mentioned earlier on in terms of how we think about the portfolio, it's -- make sure that most of the assets are in great mining jurisdictions, we're blessed. The A lot of our assets are in Canada, U.S., Australia, but also in Chile, Peru, Mexico, Brazil. These are all great mining countries. We continue to invest in all of them. So it is the -- yes, what we've done does reflect our strategy is a happy coincidence that of all our deals are in Canada, U.S. and Australia, it is a happy coincidence.
Candida Hayden: Thank you, Paul. There are no further questions from the webcast. This concludes our 2025 year-end results conference call and webcast. We will host our Investor Day on Wednesday, April 8, 2026, -- the in-person presentation will be hosted at the Lumi Experience Center in Toronto at 2:00 p.m. Eastern Time. The presentation will also be available to view virtually. Details will be available on our website. We expect to release our first quarter 2026 results after market close on May 12, with the conference call held the following morning. Thank you for your interest in Franco-Nevada.
Operator: Ladies and gentlemen, this concludes your call for today. We thank you for participating, and we ask that you please disconnect your lines.